Operator: Good day, everyone, and welcome to this Rambus First Quarter Earnings Conference Call. Today's call is being recorded. At this time, I'd like to turn the conference over to Mr. Satish Rishi, please go ahead sir.
Satish Rishi - Senior Vice President and Chief Financial Officer: Thank you, operator, and welcome to the Rambus first quarter 2008 conference call. I'm Satish Rishi, Chief Financial Officer and on the call today are Harold Hughes, our President and CEO and Tom Lavelle, Senior VP and General Counsel. We also have with us Sharon Holt, Senior VP of Sales, Licensing, and Marketing for the Q&A. The press release for the results that will be discussed here today has been filed with the SEC on Form 8-K. If you want a copy of the release, please visit our website at www.rambus.com on the Investor Relations page under financial releases. A replay of this conference call will be available for the next week at 888-203-1112. You can hear the replay by dialing the toll-free number and then entering ID number, 3632485 when you hear the prompt. In addition, we are simultaneously webcasting this call and a replay can be accessed on our website beginning today at 5.00 PM EDT. Before I begin, I need to advise you that the discussion today will contain forward-looking statements regarding our financial prospects, pending litigation, and demand for our products among other things. These statements are subject to risks and uncertainties, which are more fully described in the documents we filed with the SEC including our 8-Ks, 10-Qs, and 10-Ks. These forward-looking statements may differ materially from our actual results. Now I'll turn the call over to Harold. Harold?
Harold Hughes - President and Chief Executive Officer: Thank you, Satish, and good afternoon, everyone. In Q1, we achieved revenue of $39.7 million, which is at the high end of our guidance but down slightly from last quarter's revenue. We did not find any new patent licenses in Q1. Also, longtime customer, Elpida's, patent license expired at the end of March. We had hoped to be able to announce the new patent license of Elpida by the time of this call, but those negotiations are still ongoing. However, in Q1, we achieved a very important result in the coordinated trial against the memory manufacturers. We were very happy with the unanimous Jury verdict, which found we had these factored properly during Rambus' participation in JEDEC back in the 1990s. Just this week, we were again vindicated when the DC Court of Appeals vacated the FTC's orders… order in a case against us, completely consistent with the Jury verdict in San Jose, the DC Appellate Count found that the FTC failed to demonstrate that we had acted improperly. Further, the Court found that the FTC failed to demonstrate we had harmed competition and it overturned the FTC’s unlawful monopoly claims. This was not a victory on technical grounds. To our reading, the Court delivered a stinging repudiation of the FTC’s central findings in this matter. I want to thank Tom, his in-house legal team, the folks at [inaudible] and our other outside counsel for their exemplary work in preparing for and putting on these cases. Some may expect that on the heels of these decisive court victories, our phones would be ringing off the hook with offers to settlement… offers of settlement with the DC manufacturers. Unfortunately some would be wrong. Matters are far more complex. Based on statements and actions following the Jury’s verdict, it appears certain parties intend to continue to pursue a strategy of delay. Ultimately, it's the strategy, which will be far more expensive in settling if we prevail and we believe very strongly that we will prevail and we will continue to commit the resources necessary to do so. Waiting out the clock or wishing it will somehow go away is a forlorn hope. Our engineers and scientists continue to innovate and push forward the frontier of memory technology. At the end of Q1, we had 699 patents with another 541 applications pending. Our commitment to innovation and technology leadership is unwavering. As an alternative to a strategy of delay, we believe there's an opportunity for a win-win. Our leadership products strategy for products like XDR DRAM needs the support of license DRAM manufacturers. We have three XDR DRAM licensees including Qimonda and Elpida. We would welcome others. Producing differentiable, high value memory like XDR greatly benefits consumers by making possible new breakthrough products and is far more attractive financial proposition than selling commodity markets in today's world. I can think of few financial propositions that are worse than doing that actually. In February, the International Engineering Consortium recognized the XDR memory architecture with its 2008 DesignVision Award. DesignVision Award acknowledged technologies, applications, products, and services judged to be most unique and beneficial. The XDR memory architecture received the award for exemplifying the "highest level of innovation". Also during the quarter, we announced that our XDR DRAM licensees had shipped over 50 million XDR devices to date. The PlayStation III drove the lion’s share of this volume as it continues to gain momentum. As noted recently in BusinessWeek, Sony has been able to cut the bill of materials cost of the PS III in half, reducing the cost from $800 at the time of launch to $400 a little over a year later. We helped Sony in this effort through a series of die shrink package and board redesign. It is a great demonstration of our dedication to customer success. With our royalty-based business model, we win when our customers win. As with Sony, we worked very hard to get our customer’s products into production and then helped them cost reduce their products to drive greater volumes. Also, development work is in full swing here at Rambus for Toshiba's HDTV chip, which we announced last December would use the XDR architecture. Just this week, we announced two new technology licenses. We will be providing expansion with engineering services to help it accelerate the time to market of its high-volume MirrorBit flash products. Further, our two companies will collaborate our next-generation flash memory solutions, combining expansion leadership in NorFlash and our renowned expertise in high-performance memory architectures. We'll also bring our own breakthrough innovations in flash technology there. Product of this collaboration and others we have in development will help enable a new generation of powerful multimedia devices. We also announced the license with IBM to provide an advanced multi-protocol SerDes cell for its state-of-the-art 45-nanometer SOI process. Operating at data rates about the 6.4 gigabits per second, IBM will use this cell in a number of servers, networks and merchant ASIC applications. As IBM said in the press release, this multi-protocol SerDes solution gives them a flexible, single IP solution that simplifies design process without compromising performance, power, or silicon die area. In short, since our last quarterly report, we’ve made continued progress in our strategy of developing and advancing technology in our four focused markets being computing, gaming, HDTV, and mobile. Finally, I want to say a few words about Kevin Donnelly. Kevin who has served on our Board of Directors since 2003, who has been our Chairman for the last two years, announced he will be leaving the Board on July 1st, or as early as a replacement can be found. I want to thank Kevin for his leadership and commitment to Rambus. Kevin and the other Directors dedicated tremendous amount of time to their Board duties. We are very grateful for the years of service Kevin has given the company. Good luck, Kevin. And with that, I will turn it over to Tom who probably has a few things to say about [inaudible]. Thank you.
Thomas Lavelle - Senior Vice President and General Counsel: Thanks, Harold, and good afternoon, everyone. 2008 has obviously started as a very eventful year regarding our legal activities. On March 26th, in Judge Whyte’s Court in San Jose in the coordinated trial, the Jury returned a unanimous verdict exonerating Rambus of the anti-competitive and fraud charges alleged by the memory manufacturers against Rambus. Hynix, Micron, and Nanya participated in this trial, while Samsung agreed to be bound by the factual finding. There are a number of post-trial motions and other issues still for Judge Whyte to decide. Further, Samsung will argue its additional claims in a bench trial before Judge Whyte in September of this year. Nevertheless, as I said in our March 27th call, this verdict removes a shadow cast by allegations that Rambus has had to live with for far too long. Further, it clarifies what parties had hoped to obscure, that at its heart, this case is about protecting… actually all of these cases are about protecting the value of intellectual property and fostering innovation. No company can long invest in innovation if its inventions, its property can be taken by others without compensation. With regard to that central issue, we already have a Jury verdict that our patents are valid and infringed by Hynix’s products. We are confident we will achieve that same result when it comes to the other manufacturers. As a next step, we intend to pursue a permanent injunction against Hynix’s infringing products as we continue to pursue the balance of this case against Hynix and the other manufacturers. We have a Markman hearing coming up in a couple of months and a patent infringement trial against Samsung, Micron, Hynix, and Nanya currently slated for January 19th, 2009. Moving next to the Court of Appeals for the DC circuit, we could not have hoped for a more positive result from the appellate court than its decision released this Tuesday. The deception of JEDEC thesis central to both the FTC's case and the DRAM manufacturers defense in our patent trial is effectively dead with the Court's decision. The Court's order is a further vindication of Rambus is 100% consistent with the Jury verdict in March and validates our contention that we did nothing wrong at JEDEC. The Court concluded that the Commission’s failure to demonstrate that Rambus inflicted any harm on competition requires vacating of the Commission’s orders and while the Court contemplated the chance of further FTC proceedings on remand, the Court expressed serious concerns about the strength of the evidence relied on to support some of the Commission’s crucial findings regarding the scope of JEDEC's patent disclosure policies and Rambus’ alleged violation policies. The Court went on to say the Commission’s findings are murky regarding what JEDEC's disclosure policies were and what, within those mandates, Rambus failed to disclose. As Harold mentioned, this was not a victory on some narrow technical grounds. This was a decisive victory for the company as it sweeps away many of the factual underpinnings of the allegations of misconduct used by both the FTC and the DRAM manufacturers with whom we are currently in litigation. The DC Court of… Circuit Court of Appeals, the Jury in San Jose, the Federal Circuit and the FTC’s own ALJ came to the same conclusion given essentially the same set of facts. With regard to the other cases, the price fixing case in San Francisco, there was a Case Management Conference on April 15th. During the conference, Judge Kramer established a cut-off discovery of… cut-off full discovery of August 29th of this year. While he did not set a firm date, he did indicate that the parties should plan on a February 2009 trial. We’re awaiting a decision from the Court of Appeals with the Federal Circuit regarding the Samsung matter arising from the case in the District Court for the Eastern District of Virginia. And we are still filing briefs in the US District Court for the District of Delaware in regards to the first phase of the Micron trial, which was heard last November. A decision from the Judge will of course follow the completion of briefing. Now I will turn the call back over to Satish to review the financials.
Satish Rishi - Senior Vice President and Chief Financial Officer: Thank, Tom. As reflected in our press release today, we finished the quarter with revenues of $39.7 million, down 2% from the previous quarter and down 21% from the year-ago quarter. Royalty revenue was down by $3 million given the completion of the first $50 million payment… patent royalty payment from Qimonda in Q4 of 2007 offset by higher technology royalties on XDR and higher contract revenue. The decrease in revenue from a year ago was also due to a scheduled decrease in patent royalties from Fujitsu and Qimonda offset in part by higher PS III related royalties. We continued to face challenges to our patent licensing efforts associated with the impact of the FTC orders and have made some progress in re-engaging some of our customers. However, we were not far enough along to book any royalty revenue. Before I go further, let me address the issue of MARR or the maximum allowable royalty rate MVS growth. As you are aware, the FTC remedy order required that we not collect in excess of MARR, which was stipulated by the FTC. As Tom mentioned, this week's decision from the DC Circuit of Appeals vacated the FTC orders. However, this does not translate into immediate revenue for us. As of the end of March, the amount held in advance pursuant to the FTC order had increased to $3.8 million. We believe that we will be able to recognize the amount as revenue sometime soon, but we still need to go to the legal process and wait until the DC Court of Appeals issues a final writ or mandate. Operating expenses for the first quarter were $63 million, down 13% from the previous quarter and up 2% from the first quarter of last year. Now, these operating expenses include items like stock-based compensation expenses related to the restatement, 409(a) related payments made in early 2007. To provide a better comparison period over period, I am excluding these expenses related to these activities from my discussion going forward. So excluding stock-based compensation, restatement expenses, and other adjusting items, adjusted operating expenses in this quarter at $51.5 million were down 2% from the previous quarter and up 33% from the quarter the year ago. Adjusted engineering expenses were up 2%. SG&A excluding litigation was up 13% due to compensation and payroll taxes and litigation was down 18% from the previous quarter. From the quarter a year ago adjusted engineering expenses were higher by 8% primarily due to headcount increases. SG&A excluding litigation was higher by 23% due to compensation, consulting for finance, consulting in other areas, and public company expenses. Litigation expenses were high by 168%. Litigation expenses continued to be a significant portion of our operating expenses. Our recent victories in the Hynix trial and with the FTC demonstrate progress, the announced strategy to defend our intellectual property. I want to remind you that the timeline for each of the many cases is difficult to predict and each case has its own twists and turns. However, we stand committed to pursuing a strategy and because of that, we expect the litigation cost to be significant and dynamic. Our adjusted operating loss for the quarter was 11.8 million. No change from the previous quarter and a change from a profit in the first quarter of 2007. Overall cash, defined as cash, cash equivalents, and marketable securities, excluding restricted cash was $382 million, a decrease of approximately $59 million from the fourth quarter of 2007 and down $63 million from a year ago. During the quarter, we repurchased 1.4 million shares for approximately $25 million. Additionally as a part of the agreements to settle the consolidated class action lawsuit regarding stock option allegations, we transferred approximately $18.3 million into an escrow account, which pending final approval will be used to settle all claims. We also spent $6.4 million on EDA tools, which contributed to the reduction in cash quarter-over-quarter. Now, I will give you some thoughts regarding the second quarter. This guidance reflects our reasonable estimate and our actual results could differ materially from what I am about to review. We expect first quarter revenue to be between $32 million and $37 million. This does not include the amount that is held in advance. We expect operating expenses excluding stock-based comp to be between $43 million and $48 million. Excluding an estimate for litigation expenses of $7 million to $11 million, adjusted operating expenses are expected to be slightly balanced quarter-over-quarter. As noted earlier, litigation expenses are difficult to predict, because we did not control time lines and requests from the courts nor do we control the actions that advisories may take which may cause us to incur additional unplanned expenses in any particular quarter. That concludes our prepared remarks. Operator, would you please open the call for questions? Question and Answer
Operator: Sure. [Operator Instructions]. We will take our first question from Jeff Schreiner of Capstone Investments.
Jeffrey Schreiner - Capstone Investments: Good afternoon, everyone.
Harold Hughes - President and Chief Executive Officer: Good afternoon, Jeff.
Satish Rishi - Senior Vice President and Chief Financial Officer: Hi, Jeff.
Jeffrey Schreiner - Capstone Investments: The first question I wanted to ask is, what's the timeframe, Tom, for the FTC to make a decision on re-examining the case?
Thomas Lavelle - Senior Vice President and General Counsel: Well, they have got a little bit of time. We are looking probably at weeks rather than months before they make a determination of what they are going to do, whether they’re going to remand and go back for Section 5 action or what else they might do.
Jeffrey Schreiner - Capstone Investments: Okay. Another question for you and we’ll move on, what's the cut-off date for filing an injunction? And can Rambus file an injunction request at any point up to that date?
Thomas Lavelle - Senior Vice President and General Counsel: An injunction following the Jury verdict, you are talking about?
Jeffrey Schreiner - Capstone Investments: Yes, I am sorry.
Thomas Lavelle - Senior Vice President and General Counsel: Yes, we have a hearing scheduled, I believe it's on May 9th. We have hearings coming up where we will be filing the briefs on the proposal to get into an injunction, that's coming up and the briefing is going on now, it will be filed. I don’t know when the actual hearing is going to be, but sometime after that obviously.
Jeffrey Schreiner - Capstone Investments: I think they are coming to get you right now actually. This is for Satish. Satish, in regards to the guidance, it seems like the Elpida contract has kind of rolled off and the company is obviously negotiating. Will the company potentially receive any reduced type of revenues from Elpida during the re-negotiation period?
Satish Rishi - Senior Vice President and Chief Financial Officer: Yeah, Jeff, the Elpida contract expired as of March 31st. So typically we get a royalties 40… within 45 days from the end of the quarter. So the Elpida patent royalty is included in the guidance for Q2.
Jeffrey Schreiner - Capstone Investments: And then it’s meaning that we are optimistic that we will re-price.
Satish Rishi - Senior Vice President and Chief Financial Officer: Yes, and in the meantime, we... in the meantime, go, Sharon.
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: Yes, as Harold mentioned in his remarks at the beginning, how we are still negotiating with Elpida, we had hoped to have that done by now, we don't, but we remain confident that it will get done and as Satish said, it has no impact to our Q2 revenues one way or the other because of the way the old contract was structured. The final payment we will receive from the old contract in Q2 and then we would expect the first payment from the new contract to hit in Q3 and we would recognize it as revenue at that time.
Jeffrey Schreiner - Capstone Investments: Okay, thank you. And one last question. Harold, your comments regarding the litigation, it’s… in the time that we've spent and talked about things, it seems like the most bullish I have ever heard in the vocal talent [ph] about these cases and your willingness to kind of be openly vocal about it. Could you talk a little bit about that for us? And where that comes from at this point?
Harold Hughes - President and Chief Executive Officer: A great deal of trepidation, yes. Obviously we have great… we’ve made great strides on the legal front, one would include that... that’s the significant motivation for the other side to do something. We only get paid when we turn them into customers that many, many times. As I also said in my prepared remarks, we believe that there is a win-win strategy where they would in working with us actually made products and get profits. So given that legal pressure and what we believe to be the appeal of our products strategy, one would hope we could make some progress there. These negotiations are extremely complex and we have to take into consideration the impact on other customers, but we remain optimistic that now is the time.
Jeffrey Schreiner - Capstone Investments: Okay. Thank you very much.
Operator: Next, we will go to Michael Cohen of Pacific American Securities.
Michael Cohen - Pacific American Securities: Congratulations on your recent court victories.
Harold Hughes - President and Chief Executive Officer: Thank you.
Michael Cohen - Pacific American Securities: And so in that sprit, my first question is probably for Tom. In periods that you are going to be filing the motion for the injunction against Hynix on May 9th, and then I believe the hearing is scheduled for June 18, my question is has it been determined that Hynix’s DDR2 products infringe your patents? And if so will the injunction request include DDR2?
Thomas Lavelle - Senior Vice President and General Counsel: It’s… we certainly anticipate that the injunction request will include DDR2.
Michael Cohen - Pacific American Securities: Okay, excellent. And my next question is with regard to what's going on at the US Patent and Trademark Office. Can you give us an update on what's happened to date at the US PTO and regarding any re-examinations and which patents are currently subject to re-exam?
Thomas Lavelle - Senior Vice President and General Counsel: I am not going to identity all those specific patents, but as you know, Michael, and thank you for the congratulations, we are very happy with the wins, of course, but what we are talking about here is there have been re-examination requests filed by certain parties to try to have the validity of a number of the patents in litigation re-examined by the US Patent and Trademark Office. Those are… have started, they will probably take some time. This is a pretty normal process in that it happens a lot. The first thing that happens is the PTO looks at the claims or looks at the statements of the other parties and then makes a first action, that hasn't happened yet. Their first action may be to reject the claims, may be to take them into account, then at that point, we would have a chance to rebut and go forward from there. So this is not going to happen in the next couple of weeks, this is going to take some time if it proceeds forward at all.
Michael Cohen - Pacific American Securities: Okay. If we look at the Farmwald/Horowitz patents is sort of the Farmwald/Horowitz tree, is kind of the bottom of the tree potentially under re-exam?
Thomas Lavelle - Senior Vice President and General Counsel: The bottom of the tree...
Michael Cohen - Pacific American Securities: I mean that came from the ’98 application.
Thomas Lavelle - Senior Vice President and General Counsel: Certainly some of the significant claims are being asked to go in for re-examination. We did in fact get an office action on one… in one instance and again I want to say, it’s probably fair to say that some of the underlying claims that are fundamental to a number of Farmwald/Horowitz patents are subject to re-examination, but I want to caution people, I… these patents have been tried in front of juries, they have gone in front of the Federal Circuit and been reviewed and they have stood up as valid and infringed and I’m not going to try to anticipate anything in the PTO but as I say, they are going to try anything they can to stall and delay. This is part of that stall and delay tactic. We intend to win and I believe we will on the re-exams as well.
Michael Cohen - Pacific American Securities: Okay. And that was the point in my question there as I realize and they’re desperate, as that's probably the direction that will likely be headed. My next question is probably for Satish and I think you partially answered this in your prepared comments. Was this the first quarter that you are without the Qimonda payment from the settlement agreement that was announced on March 21st, 2005?
Satish Rishi - Senior Vice President and Chief Financial Officer: That is correct, yes, the last payment from Qimonda, the last partial payment occurred in Q4 of 2007.
Michael Cohen - Pacific American Securities: Okay, and I believe November 15th of Q4 is what is said in the original press.
Satish Rishi - Senior Vice President and Chief Financial Officer: Yes, Q4 2007.
Michael Cohen - Pacific American Securities: Okay. And you also mentioned that you lost some revenue from Fujitsu, could you tell us what that was related to?
Satish Rishi - Senior Vice President and Chief Financial Officer: No, the... what I mentioned that from a quarter-over-quarter, if you look at our revenue patents on the royalty side, the year-over-year for March quarter 2007 and 2008, the variance was related to Qimonda and also Fujitsu. So the Fujitsu payments that we have, they have not been… they have not been and will not be linear. So when you look at year-over-year, there was a… there would be higher royalty revenues in Q1 of 2007 versus 2008.
Harold Hughes - President and Chief Executive Officer: Michael, this is Harold, you may recall that the Fujitsu deal had past dues involved and those were pretty much front-end loaded, those have now been paid and the rest more of a run rate though.
Michael Cohen - Pacific American Securities: Okay. So now you are more at a running royalty from here forward, but [inaudible]. Okay. And my last question, it appears from information that I have seen that it looks like IBM may be coming out with a version of the cell processor that uses DDR2 and I was wondering if you can confirm that?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So Michael, this is Sharon. We certainly can't comment on IBM's product strategy, but certainly I think there has been some talk about this and some things in the press about this over last year. The only comment that I would have is that if you look at a typical compute system architectures at different system or different system types have different requirements from the memory subsystem and what might be a great memory subsystem for a PC might not be the same subsystem that you want in high-performance compute systems or servers or for that matter in graphics. And so it’s not unusual, we would not be unusual for IBM as they are trying to broaden cell in the market to try to address multiple points in terms of compute platforms to try to get cell adopted as broadly as possible and that's all I will say, but I can certainly refer you to IBM's website to take a look at what they are doing with the product.
Michael Cohen - Pacific American Securities: Okay. If they went forward with a version of the cell for high-performance computing that did not include XDR, but did utilize Flex Phase… I am sorry, not Flex Phase, FlexIO, how would the licensing revenues from that be related? Would it still be the same amount as if it didn’t use XDR, just for the processor itself or would there be a loss there?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So I really can't comment on the details of the technology license agreements that we have in place with IBM, but they certainly do have a technology license for the Rambus interfaces that they need for the cell microprocessor.
Michael Cohen - Pacific American Securities: Okay Thank you very much, I appreciate it.
Harold Hughes - President and Chief Executive Officer: Thank you
Operator: Next we’ll go to Hamed Khorsand of BWS Financial Hamed Khorsand – BWS Financial Congratulation guys. My question is regarding the timeframe in getting the payment from Hynix that was put aside into escrow?
Harold Hughes - President and Chief Executive Officer: Okay. What's your question? Hamed Khorsand – BWS Financial When would the time line be for you to receive it?
Harold Hughes - President and Chief Executive Officer: I think that's for Tom to take you through that. Obviously there are several interactions. Tom, are you still on the line?
Thomas Lavelle - Senior Vice President and General Counsel: Yes, I certainly am. It's difficult to predict what we need to do to release the funds that are being held as to get a rid of mandate from the District of Columbia Court of Appeals, that's a process that takes a little bit of time. Remember, this is a legal procedure. So everything takes time and usually takes more time than certainly any of us would like. But we are talking probably months rather than days before that would occur and a lot of that will depend a lot… will depend on what the FTC decides it wants to do and how they decide to move forward but, I would say we are talking months before the writ of mandate issues when the opinion goes into effect and the orders get vacated. Hamed Khorsand – BWS Financial Okay. And then on the technology side for the products, what would the time line be for Rambus with the… with its own flash memory and with expansion to new flash memory coming out?
Harold Hughes - President and Chief Executive Officer: It’s an expansion product. So we obviously wouldn’t comment on that.
Thomas Lavelle - Senior Vice President and General Counsel: Wait a minute, this is Tom again, could I go back and just correct something. You said Hynix, correct, on the escrow or the withheld funds? Hamed Khorsand – BWS Financial Yeah, Hynix.
Thomas Lavelle - Senior Vice President and General Counsel: I think there is a confusion, I answered the question based on the FTC case and I’m not… I don't know, I’ll have to turn that over to Satish as to whether Hynix has any funds that are being held, but Hynix situation is the damages in the Jury verdict which continued to accrue, is that... am I getting that right? Hamed Khorsand – BWS Financial Yes, that's the question.
Thomas Lavelle - Senior Vice President and General Counsel: Okay, then I answered the wrong question, I apologize. The focus for Hynix is on the Jury verdict or the amount that was reduced to $133 million by Judge Whyte. We have finished now the third phase of that trial, that amount will have gone up, because infringing products continued to ship, that number was through either late '05 or early '06. So the number will have gone up substantially and that's also before interest is applied to it. So when we get a final judgment from Judge Whyte in that case against Hynix, the number will be determined and we suspect it will be way larger than $133 million. And again the timing on that depends on what happens and how quickly we get to final judgment from Judge Whyte. So I apologize for interrupting. Hamed Khorsand – BWS Financial Thank you. Back to the flash memory, you made comments that you are pursuing your own flash technology development, that’s where I am more leaning towards is to understand where does Rambus stand with our flash technology and where do you see it being used?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So, Hamed, this is Sharon, I will take the question. We’ve talked about this a bit in the last several calls and I certainly don't want to fuel a lot of speculation. As it is part of our business model to invest in technology development, in some cases, the development of that technology is years before it shows up in product form and so we are talking about a fairly long cycle here. That being said, clearly we made the announcement this week about the work that we are doing with expansion, which we are very excited about. As Harold said in his comments, we also have other efforts going on internally, but with respect to those other efforts, we are not yet ready to make any announcements and as soon as we do have a tangible program underway either for a new product or with another customer or partner, we will make an announcement. Hamed Khorsand – BWS Financial Okay. And that was it, thank you.
Operator: Next, we will go to Philip Vera [ph] of Algorithm Capital.
Unidentified Participant: Yes, I have a couple of quick questions for Satish. Have you disclosed what type of securities your cash is invested in?
Satish Rishi - Senior Vice President and Chief Financial Officer: We did disclose that in our 10-Q and our 10-K, but typically, our investment portfolio is very conservative, most on the cash we have is short term. We don't have any auction rate securities or any impaired assets in our financial portfolio.
Unidentified Participant: Great, thank you. And the other question was regarding the tax benefit rate for 2008, have you given guidance on where that might come in? I noticed for this quarter, it was 33% versus 45% in the first quarter of '07?
Satish Rishi - Senior Vice President and Chief Financial Officer: No, I haven't given guidance for the full year. We typically don't give guidance for the rest of the year and the same thing goes for the tax rate. Given our… given the volatility we have in our business at this point in time, able to get a little more stability and look to give out full year guidance of the tax rate, because I’d be changing it very frequently if I did.
Unidentified Participant: Great. Can you just give me a little color then as to why it dropped to 33% for this quarter?
Satish Rishi - Senior Vice President and Chief Financial Officer: Well, many of the issues that come in there relate to discrete items. So typically we start out with a tax rate of 35% for federal and about 4.85% for state and then once you start from there, you take out all the discrete items I could relate to, employee stock options outside of the US or any stock-based comp for the US for which you don't get a detection, there could be other features like R&D credits and so on. So when you go through it, there is a whole long laundry list of reasons why the… why there is a change in the effective tax rate from your normal statutory rate.
Unidentified Participant: Very good, thank you.
Satish Rishi - Senior Vice President and Chief Financial Officer: Thanks.
Operator: Next, we'll go to Mike Crawford of Riley Investment Management.
Mike Crawford - Riley Investment Management: Thanks. My first question is on controllers. Could you help size the market opportunity for DRAM controllers, that’s differentiated from just the DRAM market itself?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: Yes. Hi, Mike, this is Sharon. So… yes, and I realize when we say DRAM controllers that that could be confusing. Let me give you a couple of examples before I jump to the general. So a system that most for us are familiar with is a typical PC. So in a PC, obviously you have a CPU usually from Intel or AMD that’s either connected through a bridge or directly to memory. Whether it's the CPU or the bridge that’s connecting directly to the memory, that device would include what we would call the DRAM controller. So it's basically some logic that helps transmit messages back and forth between the memory and the CPU. So in a PC system, that's what the architecture looks like. In other types of systems, it could be an ASIC or some other kind of chip set that is talking to the memory and in that case, that ASIC or chip set would include a memory controller. Does that help?
Mike Crawford - Riley Investment Management: Is there any way to kind of put a TAM on that?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So it's… first of all, when we look at it, we are looking at certain types of memory devices at a very high level. If you are looking at the market itself, it’s quite large. As you know, the DRAM market is $30 billion a year. The controller market is multiple times that much larger if you just add up all the Intel microprocessors, all the AMD microprocessors, other chips sets and ASICs and other specialty devices that talk to memory, we're talking hundreds of billion of dollars, that's at the top level and then of course for us, the TAM would be some percentage of that depending on the royalty.
Mike Crawford - Riley Investment Management: Okay. That's helpful. Thank you. I do have one question regarding the FTC case. So I think they reported spending about $2 million prosecuting this case. I think you spent like $27 million defending yourselves and we've seen… back in 2004, it looked like there was a doc and a brief and it looked like it would have been stamped by Micron’s law firm, Arnold & Porter, and it was put up on the FTC site before it was taken down and in Judge Whyte’s discovery in that trial, there were some other billings that looked like or from Weil Gotshal to Micron. And so the question is this, can Micron pay for the FTC's work, is that allowed?
Thomas Lavelle - Senior Vice President and General Counsel: This is Tom, I don't know any process where that would be allowed and I'm not in any position to say that that’s anything at all what I believe happened.
Mike Crawford - Riley Investment Management: Okay. Thank you. Two other questions just on your business. So you have a couple other initiatives, one is this low-power transceiver. You've talked about hoping to announce some products this year regarding the low power and I know you had demonstrated a 14-milliwatt transceivers. What's going on with that?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So… yes, we obviously had some announcements last year about some new what we call technology ingredients, kind of new ways to achieve high-performance signaling with low power. As is normal for our business model, the next step would be to take a look at how to incorporate those into new memory architecture and then to actually productize and engage with customers. So we are moving to that next phase of actually looking at memory architectures that would incorporate that new low-power technology and dialoguing with potential customers and partners as we further refined the product definition.
Mike Crawford - Riley Investment Management: So Sharon, would that be a subset of the Terabyte Bandwidth Initiative or is that something separate?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So the low-power ingredients were developed separately but as we look at future memory architectures, there is no reason why we couldn't look at some of the very high-performance capabilities we announced with TBI and look at how to incorporate some of the low-power techniques to achieve very high performance, very low power.
Mike Crawford - Riley Investment Management: Okay. Great. That I think you've addressed as much as you’re going to on your customers. So thank you very much.
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: Thank you.
Operator: Next, we will go to Jordan Huan [ph] of Glenhill Capital [ph].
Unidentified Participant: Hi, guys, thanks for the call. Congratulations on the recent victories.
Harold Hughes - President and Chief Executive Officer: Thank you.
Unidentified Participant: Can you talk just a little bit on the fundamentals about the market and potentially transitioning to DDR3 and your positioning there, please?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: Are you talking about from a product perspective?
Unidentified Participant: From a PC market and any other end market that you potentially CIS and Qimonda’s press release and earnings, they talked a little bit about validation with Intel, I think on [inaudible] and just wanted to hear your guys thoughts on if and how the PC and any other market will transition to DD3 and your positioning there?
Sharon Holt - Senior Vice President of World Sales, Licensing, and Marketing: So certainly while I would say from a product standpoint, we tend to focus more on our leadership products like XDR. Obviously our partners are engaged with main memory, commodity memory and we look at all of the same data that you probably also have access to. I think it is widely expected that DDR3 will pick up later this year and over the next years… over the next couple of years, obviously, become the predominant commodity memory shipping in compute systems.
Unidentified Participant: Okay. Thanks.
Operator: And it appears there are no further questions at this time. I would like to turn the conference back over to Mr. Rishi for any additional or closing remarks.
Satish Rishi - Senior Vice President and Chief Financial Officer: Thank you, operator. Thank you, everyone, for attending our call. Thank you very much.
Operator: Ladies and gentlemen, that does conclude today's teleconference. We would like to thank all for your participation and have a great day.